Operator: Hello, and welcome to the Cumulus Media Quarterly Earnings Release Conference Call. Please note certain statements in today's press release and discussed on this call may constitute forward-looking statements under federal security laws. These statements are based on management's current assessments and assumptions and are subject to a number of risks and uncertainties. Actual results may differ materially from the results expressed or implied in forward-looking statements due to various risks and uncertainties or other factors. I would now like to introduce Mr. Lew Dickey, Chairman and CEO of Cumulus Media. Sir, you may proceed.
Lewis W. Dickey: Thank you, operator, and good morning, everybody. I appreciate everyone taking the time to join us today for our first quarter update. Also joining with me today is our CFO, JP Hannan. Today, we're going to update you on our operating performance in the first quarter and share current pacing information for the second quarter, which we view is an important turning point for the company. Additionally, we'll provide an update on the final stages of the integration of the Citadel assets to what was our important investments in 4 key growth initiatives. Lastly, we'll provide an update on the excellent progress we're making on our 10 underperforming stations. Now on the first quarter, pro forma revenue was down $5.6 million or 2.4%. Approximately $1.7 million of this was due to the net decline in political advertising and $1.5 million was due to the runoff of legacy Citadel barter transactions, which were done at the local level. The remaining $2.4 million was attributable to our radio networks division. This decline was due to the syndicated talk segment, which continues to be challenged. Fortunately, we've come through the greatest exposure here and now expect to grow our network revenue for the balance of the year due to our strategic growth investments in content. Moreover, several of our big news talk stations are now growing, including WABC, which is leading the pack in New York. KABC in Los Angeles, WLS in Chicago, ASFO in San Francisco, WMAL in Washington, D.C. and WJR in Detroit: all are growing. Our team is working very hard, and we've adapted to ad market changes. And again, these stations are now posting revenue growth. We're fortunate to have the Premiere talk radio platform in the United States and that is really -- it's really in a league of its own, by right of the station's tremendous brand heritage and their powerful signals. As we view this, our charge over the next 5 years is to continue to expose our audience and all of these major markets to the industry's most talented performers while developing the next generation of talk radio superstars. By the way, this is true for our sports talk stations as well. Now when we announced our full year 2012 earnings, we mentioned that our previously identified group of underperforming stations accounted for more than 100% of the negative growth in 2012. And unfortunately, they have continued to impact our results as we go into Q1 of 2013. We're pleased to report, however, that we're making excellent progress on the turnaround of these asset. In fact, the original group of 10 is now down to 6. And we confirm our earlier statement that this original group of 10 stations -- and we confirm our earlier statement that this original group of 10 stations would be negative in the first quarter, flat in Q2 and then rebounding in the back half the year to post positive full year growth in 2013. And in fact, we can say that we're actually a little ahead of that schedule right now. It's important to note that x networks and x code red stations, the rest of our owned and operated stations, over 500 of them, were positive for the quarter. Moreover, based upon our April finish and our current Q2 projections, we'll post positive company-wide revenue growth through May as well as through June. And we're building strong momentum as we enter the back half the year. Now moving along, the integration of the Citadel assets, as I mentioned, is largely complete. We've realized more than $63 million of synergies, representing a 21% increase over our initial $51.9 million target this result has enabled us to go on the offensive and make targeted investments for growth in both content and commerce. Specifically, we are investing approximately $25 million annually in targeted bets on CBS Sports, NASH, Traffic and SweetJack. Although these were a collective drag on our first quarter EBITDA, we're currently tracking towards breakeven for these initiatives for full year in 2013 and expect more than a 2:1 return on them next year, as we expect these 4 initiatives to account for approximately $100 million of revenue in 2014. These 4 distinctive new growth opportunities really illustrate the unique value of our platform. Each was created by leveraging our existing assets into compelling new content with guaranteed distribution. This is the key to successful monetization in our business model. Our CBS Sports Radio network officially launched its 24/7 product offering just in January. And backed by the marquee brand of CBS Sports and the programming prowess of their radio division, networks in aggregate have already amassed approximately 300 affiliates and are exceeding their revenue plans. We are highly encouraged by our early success and expect CBS Sports Radio to be a material growth driver in 2014 and beyond. Moving on to NASH FM in New York, it is one of the most exciting major market station launches in recent memory, and in just 2 months, it's up to almost 1 million weekly listeners. In fact, it's already the third most listened to country station in America. In addition to establishing itself as a successful New York station, NASH FM will also serve as the flagship for our multi-platform country lifestyle entertainment brand. And our brand at NASH, it's a transcendent brand that has captured the attention of artists, labels, listeners and advertisers. And NASH will provide a unique opportunity for advertisers to reach at scale the large and desirable consumer lifestyle segment of country music fans. As our friend Kix Brooks recently said, NASH is going to be like ESPN for country music. We're already assembling the various components and we'll have more to announce in the near future. Moving on to our Traffic network, we recently completed its first upfront sales cycle exceeding expectations and positioning the business nicely to take share in the more than $150 million market for traffic in short length spots. We're excited about this space because it has limited competition. And with our platform, we're uniquely positioned to compete aggressively and take share. Now, SweetJack has now been successfully rolled out into 200 markets and it was at the end of the year -- end of last year. And it's really evolved into our mobile activation platform. It's a unique product that enables listeners to seamlessly engage with advertisers via mobile device on special offers and new product introductions. Though it's the smallest of our 4 strategic investments, we view SweetJack as a long-term complement to our core ad sales business, because of the important added dimension of mobile activation. Going forward, we believe that key categories of clients will increasingly demand this capability to activate purchase behavior across targeted segments, ranging from nationwide all the way to hyperlocal. So this is important, and we're going to continue to make this strategic investment and innovate this product. In sum, we've spent the last 18 months integrating our platform of assets, and we've developed a very solid foundation on which to build for the future. These 4 investment initiatives smartly leverage the size and composition of our platform to create attractive growth opportunities that are targeted, measurable and strategic. They come with a price tag, but we believe they are low-risk investments that enable us to respond to an evolving ad market, as well as competitively differentiate Cumulus and again position us for sustainable growth. With that, I'll turn it over to JP, and then we'll open it up for questions. JP?
Joseph Patrick Hannan: Thanks, Lew, and good morning, everyone. As Lew just summarized, the top line impact and increased operating expenses resulted in a pro forma adjusted EBITDA decline in the quarter of $14.6 million or 19.6%. These numbers are fully loaded for all 2012 M&A activity. And at this point, the only pro forma adjustment that factored into the prior year comparable period is the addition of the Bloomington and Peoria assets we received from Townsquare Media in July of last year. Our total pro forma operating expenses increased in the quarter by $8.9 million. Of this amount, approximately $4.9 million was expensed out our network division related to the various initiatives Lew just outlined, including some one-time start-up costs related to the January launch of the CBS Sports Radio network. We will continue to average approximately $6 million per quarter of ongoing costs related to these growth initiatives. We anticipate all other fixed operating costs to remain flat for the balance of the year, with any cost escalations being offset by other cost reductions. Now, these smart investments in growth will benefit our operating leverage in 2014 and beyond and they will not detract from our other key strategic focus of deleveraging and strengthening our balance sheet. Through repaying more than $152 million of senior debt in 2012 and completing a very attractive repricing of our first lien term loan at year end, we saw cash interest savings in Q1 of $8.3 million. This helped us generate approximately $26.1 million of free cash flow in the quarter. In January, we completed the 3 pending station acquisitions we have from year end. Further, we have approximately $2 million of routine capital expenditures in the quarter, with scheduled term loan repayments of $3.3 million. All total, we closed Q1 with approximately $83 million in cash on hand, leaving us with ample liquidity. And after quarter end, on April 1, we made another significant term loan repayment in the amount of $35.6 million. This most recent activity now brings our total debt and preferred repayments since we closed the Citadel transaction in Q4 of 2011 to more than $300 million. First and second lien debt now total just over $2,072,757,000, and our senior notes remain at $610 million outstanding. We have no current balance outstanding on our $300 million revolving credit facility. We continue to evaluate our balance sheet options. And based on the current strength in credit markets, we believe there'll be other opportunities to reduce our borrowing costs in the near term. There may also be opportunities to redeem or restructure remaining preferred shares prior to our next coupon step-up in September of this year. As you recall, we redeemed approximately $50 million of the security in July of last year, leaving us now with $75 million at a current rate of 14% annually. And one final item of note, as you noticed in the adjusted EBITDA calculations in our press release, there were approximately $2.2 million of merger restructuring costs that were excluded from the calculation. As Lew stated in his earlier remarks, this integration is in its final stages. And as such, these will be the last of the Citadel-related acquisition costs add-backs you will see in our numbers going forward. We'll file our Form 10-Q later today with full details and everything I've just discussed. And with that quick review, we can now open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Aaron Watts with Deutsche Bank.
Aaron Watts - Deutsche Bank AG, Research Division: Lew, I think I heard you say that May and June for company-wide revenues were looking up at this point. Can you kind of clarify what your thought is on pacings overall for the second quarter?
Lewis W. Dickey: Sure. And I think what we were saying is we recaptured our print -- in April it's going to be up about $3 million and in terms of top line, and May is pacing -- May and June are both pacing up. And think of it in terms of the station side is pacing up around 4.5% right now for Q2. Network, we expect the network to be flat to slightly positive for the quarter. So that's what we're looking at. We expect to have full year -- when we report 6/30, we expect to reverse the negative revenue growth in Q1 and be positive for the first half of the year and build some momentum going into the second half.
Aaron Watts - Deutsche Bank AG, Research Division: Okay, and if you could just remind me, are there -- is that kind of backing out or excluding any political you might have had coming in the second quarter last year?
Lewis W. Dickey: We're not -- that is not excluding political so we're comping against any political. We don't take political out of our numbers. And so that's just an -- that's an apples-to-apples comp. So x political would be a little bit better than that.
Aaron Watts - Deutsche Bank AG, Research Division: Got it. All right. And then just in terms of big market, small market, are you seeing any kind of discrepancies there, or gap there, local, national?
Lewis W. Dickey: It's interesting because as we mentioned, we've been very focused on this integration and the subsequent turnaround. So I don't know that we're particularly a good proxy for that. Our larger markets were underperforming and we were getting hammered. And particularly, in national sales, where we lost a lot of share, we've made some strategic investments in sales ops as well as in restructuring our national sales operations. And that's starting to pay off dividends. We're starting to get very competitive once again there. So -- and our guys in the local side have been doing an excellent job, really been holding our own there all along. So I think that because we've been in a turnaround mode, particularly in the large legacy ABC markets, that it's -- we're probably not a good proxy for understanding the difference between local -- or excuse me, between large and small markets. So the entire platform is really starting to take shape now.
Aaron Watts - Deutsche Bank AG, Research Division: Okay, and I know you touched on this a little bit. But is it too soon to kind of read into early ratings data on any of the sports performance or even some of your -- the changes you've made on the talk stations?
Lewis W. Dickey: Yes, they are 2 different things. Now the sports, as I say, we just launched a 24/7 network in the first -- first of the year. And we're seeing some of our standout stars like Jim Rome is already achieving the rating that we were looking for, that we forecasted our numbers on. So all these things take some time. Our guys on affiliate sales are doing an excellent job getting this product cleared. This thing just launched. It's in its infancy stage. And so -- and as I say, we're out of the gates very quick. But you really need to give it a solid year to start to take a look at ratings and see if it makes sense to make any adjustments to the lineup or add anything. So you've got to let this bake for a little bit. But as I say, it's off to a very good start. And it's just too soon to make any prognostications with respect to talent or ratings on that.
Aaron Watts - Deutsche Bank AG, Research Division: Okay, and the last one for me, and I appreciate you taking these. Just I want to make sure that we're clear, the investments you made would seem like they were pretty heavily weighted into the first quarter on future growth. How do we think about the level of those investments for maybe second quarter or third quarter before they taper down, or the rate at which they taper down?
Lewis W. Dickey: Well, you've got some initial -- the $25 million that we talked about is really the run rate of investment that we have in these initiatives. And you should really think about it as -- about half of that is CBS Sports Radio network, and then about $5 million of it is our Traffic, and about $5 million of it is NASH as well as $2.5 million being SweetJack. And so that is really a steady-state sort of run rate of investment on what we're doing. In addition, in the first quarter we had some startup expenses, as we were getting the CBS Sports Radio network launched as well as getting NASH launched in New York, which launched really the end of January. So we had heavy start-up costs for those 2 initiatives in the beginning of the year. And those -- which would be more of a one-time . But as I outlined, that becomes really the steady state for this level of investment.
Operator: Next question comes from James Marsh with Piper Jaffray.
James M. Marsh - Piper Jaffray Companies, Research Division: Two quick questions here. First, Lew, on the code reds that you talked about, you talked about some of your successes there. But I was wondering what particular stations maybe aren't seeing a response yet, and kind of, what's the plan there? I think there were a couple of stations in Dallas and maybe one in Indi that were problematic in the past. Can you just kind of highlight which ones aren't working and what the plan is there? Then I have a follow-up.
Lewis W. Dickey: Sure. Without getting too much detail on it, James, but the -- actually, Indianapolis is performing well for us. The -- and it was not one of the original code red stations. In Dallas, WBAP is -- we're still -- may seem a little behind there, but the trend line is moving positive, meaning we're gaining ground on it. And it's progressing towards a turn. And our cluster in Dallas is actually doing well. That's really the 1 big news talk station that we're -- that is not positive to date. So and then obviously, we've talked about KGO in San Francisco where we changed that from a talk station to all news station. And that was an issue for us in terms of we had a big reset in revenue, as it went from talk to all news. And we're still making our way through with that station. And that one is not fixed at this stage of the game. And then we lost our long-time morning -- this was really more of a function of in Los Angeles at KLOS, Mark and Bryan, who had been on the radio station for couple of decades retired and this was a big billing radio station. And so we've replaced them with Frank and Heidi, and the ratings that are coming back are actually very strong. So the station went down -- kind of went through as we put a new morning show on. The station had a different ratings and is now making its way back. But it takes some time for that to be reflected in the billing. And that's a big billing radio station that's been a material impact overall on our effort here. So those have been the real -- as I would say, sort of KGO and KLOS are really the 2 stations that we're most focused on right now to get those turned.
James M. Marsh - Piper Jaffray Companies, Research Division: That's really helpful. And JP, I had a quick question. On those Arbitron fees that you've mentioned in the press release, I think there is $1 million or $2 million step-up there. Is there anything unusual about it hitting in the first quarter? Or should we just expect that $1.5 million plus or minus to increase each quarter going forward?
Joseph Patrick Hannan: That's about the run rate of the new additional element of the new contract. We're always going to have some contracts where there's an escalation and then others that would have funding savings and on balance, they equal out throughout the year. Okay, that was a new incremental expense.
Operator: The next question comes from Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wachovia Securities, LLC, Research Division: I just want to go back to the acceleration into the second quarter, because I know that you're doing so much at Cumulus. But do you get a sense that there is also strength, just generally speaking, in terms of the radio industry and the economy that's helping you as you move throughout the year? So that's the first question. And then the second question I want to have is just trying to think about the strategy right now. Is it fair to say that with all the initiatives that you're working on and that you mentioned Lew at the beginning of the call that 2013 is still really the turnaround year and it's setting you up for a more diversified growth structure in '14? Or any of those initiatives are we going to start bearing fruit in 2013? So is there any upside to this year?
Lewis W. Dickey: Marci I'll take them in reverse order. The initiatives that we talked about, I think you've got Traffic and CBS will have some upside for us in this year with really with NASH and SweetJack more into next year. But that being said, we expect Traffic and CBS to -- CBS Sports Radio to really accelerate into '14. But we do think it's going to bear some fruit this year. And to your point, this, really, as JP indicated, we are now finishing the integration and the turnaround. And so largely, these things are unfortunately always take a little longer than you think. And these are large complex organizations. And we've got a lot of things going on. Plus as I say, we're on the offensive. We've created some very interesting growth initiatives that position us very well for '14 and beyond. So I think that this will be the turnaround year, as you stated, and we'll be very well-positioned going into '14, not only for all those initiatives but then there's another $25 million or more of political that will be on top of that into '14. So '14 should be a very good year for this company, as we come out of this turnaround and integration putting these big businesses together. And in terms of your first question about what we see going forward, it is accelerating. And we do see -- and we do see that May is better than April, and June is better than May. And I know it's -- and it's very early but July, based on what we see in terms of the longer cycle business with some national as well as instant network even looks better yet. So we do think that if things are steadily improving here and it should portend well for a strong back half.
Marci Ryvicker - Wachovia Securities, LLC, Research Division: Just going back to that point, is the industry getting better? I mean, is your feeling that the whole radio industry and the whole economy may be helping you through the year? Or is this just specific to you?
Lewis W. Dickey: Well, I think our execution -- look, we're at a phase on our curve where the -- all the hard work that we've been doing, the execution is starting to bear fruit. So that aside, I think from the industry's prospective, what I am seeing in terms of available business come up, when we go through our reviews, we just -- along, when yesterday, when Steve Sheldon, who's running our National business now, indicated that there's a lot on the docket. And so we're seeing a lot of money coming in and a lot of available business. So I do think that it's probably a little bit of both. And I do think that, as I say, the economy appears to be on a slow climb out here and things appear to be steadily getting better.
Operator: [Operator Instructions] The next question comes from Michael Kupinski with Noble Financial.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Just a couple of quick questions on the housekeeping side. The SG&A expense was a little higher. I know that you had some stock-based compensation in there. Can you give any feel for, maybe, the run rate going forward?
Joseph Patrick Hannan: What we said -- I mean, the real incremental trends will be these initiatives that we're investing in and that will be about $25 million for the full year. Everything else, then we'll have some timing throughout the year but we think that expense increases will be offset by other synergy realization.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. And for the corporate G&A, JP, was like $13.8 million. Is that a good run rate?
Joseph Patrick Hannan: No, in the corporate number, there are -- as I mentioned there is about $2.2 million of the last of the merger restructuring. So that will not -- we'll not see that again.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. And then...
Joseph Patrick Hannan: [indiscernible] the acquisition costs would be a good run rate going forward.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay, perfect. And then you were talking about the opportunity for further debt refinancing. Is that on the horizon? Or can you elaborate on what you're talking about there?
Joseph Patrick Hannan: As you know, the markets have been extremely attractive. And we've actively been talking to our lenders and evaluating what options we have. We did repricing at year-end and it's going to save us close to $16 million annually in interest costs. We don't have anything further to talk about now, but we are out in the market evaluating our options.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. You don't have any particular time frame for maybe doing a refi because like you said, there are a large number of radio companies and TV companies out there refinancing right now at really favorable rates.
Joseph Patrick Hannan: Michael, we just did that in December. I don't have anything more concrete to talk about now. We'll have more to talk about on the next earnings call.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. And then it seems like the network business is starting to gain some traction. I know that you made some investments into programming there, Huckabee and so forth. Can you talk a little bit about the talk side of the network business and what changes you've made there, including the impact from Rush Limbaugh -- and I mean, aside from some of these initiatives that you have made in terms of SweetJack and Traffic and so forth, are you seeing National business pick up in some of these other programming initiatives that you have?
Lewis W. Dickey: Well, we indicated the network business for us we believe is going to be flat to slightly up in the first quarter -- or excuse me, in the second quarter. And we expect it to pick up some pace here through the rest of the year. And general market conditions are improving for that business. And obviously, we've -- as I mentioned, we've had a tough goal of it the last year. The facts are indisputable regarding the impact, certain things add on the flow of ad dollars. So things are we've comped through the worst of it here. And we've adapted and we've made some investments in some other content initiatives and we're starting to grow again.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Perfect. And just one more clarification on the pacing side that you're indicating. A large number of radio companies were indicating that local seem to be picking up some steam. Is that what you're seeing as well? Is it coming from more of the local side versus national? Of course, factoring out the network business, I'm just curious. Or does national and local seem to be pacing similarly with your experience in, now, May and June?
Lewis W. Dickey: Well, national for us is starting to catch up with local. Our local has outperformed our national for the last 18 months. And so it's now starting to -- let's say, we've invested some money there. We've hired some very talented people. And we've restructured our organization. And we're executing better at the -- on the national front now and it's starting to improve our performance there. So we're starting to narrow that gap between local and national.
Operator: The next question comes from Lance Vitanza with CRT Capital Group.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: First question, just real quick. The revenue pacing information that you've been reviewing, that's all pro forma for the Townsquare, right?
Joseph Patrick Hannan: Yes.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay. And then, the investments in CBS Sports Radio, Traffic, NASH, SweetJack, how big -- you mentioned that those were was still a drag in Q1. Can you give us a sense for how meaningful a drag that was in the quarter?
Lewis W. Dickey: Pretty meaningful because we didn't have much revenue for many of those initiatives in the first quarter. Remember, NASH was a startup, CBS Sports Radio was a startup and Traffic was largely a startup. And SweetJack is a -- investments as a technology development project. So there wasn't a lot of revenue against that investment in first quarter. And we're starting to see revenue in the second quarter across all 4 of them. And as I say, it will accelerate throughout the year. And we expect the 4 of those to collectively generate about $25 million of revenue for the year to offset that investment, which is why I've mentioned we expect it to be a breakeven. And then we expect it to be considerably more than that next year.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: And the spending, the $25 million, will that be roughly even throughout the year?
Lewis W. Dickey: That, yes. Those are run rate numbers for all 4 quarters. That should be considered to be even. As I say, on top of that, we had some startup costs that we spent for CBS Sports and NASH in the first quarter.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay. And then in the press release there was the $4.9 million invested at the network on content initiatives, is that incremental to the $25 million-ish -- the growth investments that we are talking about, is that something new?
Lewis W. Dickey: No, part of it is -- we're investing across multiple lines of business at the network. And so that was -- part of that is in technology, part of that is encapsulated in some of these various initiatives.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay. So lastly, just a seasonally weak quarter, a lot of incremental investment, you still generate $26 million of after-tax cash flow. But if I remember correctly, you'd been talking about, possibly, somewhere in the neighborhood of $200 million of debt repayment for the full year. Should we be thinking about something lower, given the pace of investment here?
Lewis W. Dickey: Well, yes. But again, I think you can adjust it based on that level of investment that we're making. And I think that number should be pretty good.
Operator: [Operator Instructions] The next question comes from Amy Yong with Macquarie.
Amy Yong - Macquarie Research: Two really quick questions. Lew, you mentioned you are seeing the economy turn around a little bit. Can you just talk about some of the ad categories where you are seeing strength -- Auto, Housing, and where you're seeing a little bit of softness? And then my second question is as network becomes a greater component of your revenue, do you think that your margins -- your consolidated margins could expand from these levels?
Lewis W. Dickey: Amy, in reverse order. These investments that we're making in growth will all have tremendous operating leverage for us once we get past the fixed cost to create them. So we expect that will definitely help and improve our margins as we -- if we can fast forward to the end of 2014, the margins will definitely move up from where they are here for that reason. With respect to categories, as you can imagine, some of the things that have been growing nicely would be Housing, and then the attendant categories such as -- whether it be home improvement or it be, particularly, Financial Services and then Real Estate in general for apartments and so forth. We're seeing that advertising pickup across-the-board. It represented some nice growth for us in the first quarter. I don't have second quarter numbers by category on pacing. But -- and then Auto was up slightly. But then when we see where we -- what was down a little bit in first quarter with things like food services and entertainment and that was somewhat off. But then you know this company has initiatives in health care and some other specialty retail areas, where we're seeing some growth. And these are some things that our team has been specifically focused on driving those ad categories. So I think just from an industry perspective, you can expect to see Housing, Auto, Financial Services, continue to perform. And then really Food Services are really very closely correlated, too. Just disposable income consumers spend that we feel good we're going to run out and grab something to eat. Those things are driven by everything from weather to income levels and spending and consumer sentiment at any given time. So those are -- that's really the lay of the land as we look at it. We'll have more to say in terms of how that's progressing when we report second quarter numbers.
Operator: The next question comes from Davis Hebert with Wells Fargo Securities.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: I just want to ask about the mobile strategy, particularly iHeart. Is that impacting the P&L one way or the other? Is it still relatively small in the grand scheme of things?
Lewis W. Dickey: Well, we mentioned the level of investment that we have in SweetJack, and that's distinct from iHeart. iHeart is a clear channel initiative. It's an excellent content aggregation play that all of our stations are situated on. And we have an arrangement, if you will, where we promote one another's vehicles. And there's on content aggregation and custom radio and ours being on mobile commerce and activation. And so as I say, all of our stations are on iHeart. We are now -- Cumulus, now as a result of that is the third largest streaming platform in the country. And we are working to start to create some monetization strategies for that. And that's something that is taking time. We're making some investments in that to position ourselves to compete for those dollars. And -- but more importantly, I think for us, the mobile activation represents a very interesting -- it's a little bit of R&D but it represents a very interesting component, I think, of -- that can complement nicely our core business and provide that level of activation when somebody is in a car and they hear an advertisement and they can dial **75, which is SJ and respond to an ad or get a voice mail or get a text. And that can be anything from you can sample a new breakfast sandwich from a QSR all the way to you can get a MoviePass, it knows exactly where you are. And as I say, it can be done, everything from nationwide to hyper local. and so those things are -- this is where ultimately the ability -- the addressability of technology and the ability to be able to broadcast one to many. But then to be able to have a response back from individuals to specific ad messages or offerings, is something that is very appealing to advertisers. And so we're working through this to figure it out. It's not a large investment to understand this and ultimately to put ourselves in a position, I think, where we can create something very unique and that would be very attractive to key advertisers who are looking to activate an audience that's increasingly on-the-go. And that's the power of radio. It's a daytime medium. It's really reaching people when they're out of the house. And the ability to be able to activate them mobile-y with everybody carrying smartphones now and moving in that direction quickly, it's a pretty compelling value proposition for advertisers, which is why we're spending time on it.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: And then I know you get asked this question ad nauseum about Pandora. But are you seeing any activity as they ramp up their sales force in competitive issues at the local levels, particularly in the larger markets?
Lewis W. Dickey: Actually, we've had some people that have been hired away to go over there. And I think 2 out of 3 of them have been knocking on our door to come back. So that is my experience to date with Pandora and our sales staff.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: Okay. And then another question on leverage. $200 million debt, maybe on paydowns. Certainly your bond investors, debt investors will welcome that. You talked about a 5X leverage target over time. Do you have any time frame in mind on that? And if so, at the end of the day what do you expect leveraged at the end this year, as you stair step down?
Lewis W. Dickey: We're not giving guidance for full year on EBITDA. So it would be impossible to give leverage guidance on this. But it's going to take a couple of years of growth -- EBITDA growth and debt paydown. We're making targeted strategic investments in growth initiatives. And we had indicated what we think it can do for us in 2014. So we think we are positioning this company to grow smartly through next year and beyond. And that will help delever the business. And this company generates a lot of cash. We're reinvesting a very small amount of it back into these growth initiatives. And so the vast majority of that cash that we generate is going to continue to repay debt. And so we've got 2 levers, one through cash generation and debt repayment, and the other through growing our EBITDA through top line growth to decrease leverage. So those 2 things together are what we're focusing on to bring the leverage down in this business and create more equity value for our investors.
Operator: And there are no further questions at this time. I'll turn the back over to the presenters.
Lewis W. Dickey: Thank you, operator. And once again, we appreciate everybody joining us. And we'll update you again in 90 days. Have a good day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.